Operator: Welcome to the Xylem’s Second Quarter 2022 Earnings Conference Call. At this time, all participants are being placed on a listen-only mode and the floor will be open for your questions following the presentation. [Operator instructions] I would now like to turn the call over to Andrea van der Berg, Vice President, Investor Relations.
Andrea van der Berg: Good morning everyone and welcome to Xylem's second quarter 2022 earnings conference call. With me today are Chief Executive Officer, Patrick Decker; and Chief Financial Officer Sandy Rowland. They will provide their perspective on Xylem's second quarter 2022 results and discuss the third quarter and full year outlook. Following our prepared remarks, we will address questions related to the information covered on the call. [Operator instructions] As a reminder, this call and our webcast are accompanied by a slide presentation available in the Investors section of our website, www.xylem.com. A replay of today's call will be available until midnight on August 9. Please note the replay number is +1800-839-5676, or +1402-220-2565. Additionally, the call will be available for playback via the Investors section of our website under the heading Investor Events. Please turn to slide two. We will make some forward-looking statements on today's call, including references to future events or developments that we anticipate will or may occur in the future. These statements are subject to future risks and uncertainties, such as those factors described in Xylem's most recent annual report on Form 10-K and in subsequent reports filed with the SEC. Please note that the company undertakes no obligation to update any forward-looking statements publicly to reflect subsequent events or circumstances, and actual events or results could differ materially from those anticipated. We've provided you with a summary of our key performance metrics, including both GAAP and non-GAAP metrics in the appendix. For purposes of today's call, all references will be on an organic and adjusted basis, unless otherwise indicated and non-GAAP financials have been reconciled for you and are also included in the appendix section of the presentation. Now, please turn to slide three, and I will turn the call over to our CEO, Patrick Decker
Patrick Decker: Thanks Andrea and good morning, everyone. We're pleased to report that the team delivered a very strong second quarter performance on all key metrics and well ahead of our guidance. But the result builds on the momentum and underlying demand we saw in the first quarter with disciplined operational execution on strong fundamentals and a moderate easing in chip supply constraints. Revenues grew 6% organically, surpassing our guide. The team's commercial performance was outstanding in all segments and supply improvements in M&CS and Water Infrastructure enabled increased conversion of orders into revenue. Geographically, the growth was broad-based, Western Europe was up 9%, and North America at 6%, and emerging markets, excluding China, was up double-digits. While China was down due to COVID lockdowns, backlogs continue to grow on underlying demand. In addition to organic revenue growth, the team posted 6% orders growth. That orders momentum reflects strong performance across each segment. Water Infrastructure set the strongest base, growing orders 21% in the quarter. Our backlogs were up sharply versus last year, with digital solutions comprising more than half the total backlog. EBITDA margin also came in well-ahead of our guidance. We delivered strong quarter-on-quarter expansion driven by disciplined execution. All of that good work delivered earnings per share of $0.66, which soundly beat our expectations. As you can see, some incremental improvement in chip supply came earlier than anticipated, and it had a strong positive impact on the quarter. To be clear, we don't believe chip supply will improve much more quickly than previously expected. What we are seeing is a gradual improvement in supply, which provides further confidence in our second half outlook. The team also delivered pricing actions to mitigate inflation across all segments, and I want to give a big shout out to the entire team, including our distribution and channel partners for managing through a dynamic market environment. We combine those disciplined actions with productivity savings from simplifying the way we work and entirely offset inflation in the quarter. We expect demand to remain resilient due to the essential nature of the services our customers need from us. So as you've seen in this morning's release, we are raising our organic revenue guidance to 8% to 10% growth for the full year, and we're raising the bottom end of our EPS range by $0.10. We'll come back and discuss our full review of the macro environment in a few minutes, but let me hand it over now to Sandy for some additional color on the second quarter.
Sandy Rowland: Thanks, Patrick. Please turn to slide 4. The team did a tremendous job over delivering on our commitments with disciplined execution on strong fundamentals and continuing demand. As a result, revenues grew globally high single digits in Western Europe and mid-single digits in the US. In emerging markets, revenue grew low double digits, excluding China, which was slowed by ongoing COVID restrictions. In a moment, I'll detail performance by segment. But in short, utilities was up 2%, led by strength in Western Europe and the US. Industrial grew 12% on increasing activity in all geographies, particularly the US, Western Europe and Latin America. Commercial was down 1%, strength in Western Europe was offset by continued US supply chain challenges. And residential was up 13%, led by commercial execution and backlog conversion in the US. Organic orders were up 6% in the quarter, with water infrastructure up 21% and AWS up 2%, partially offset by M&CS. Global demand continues to be strong, and our book-to-bill ratio was a healthy 1.2 in the quarter. EBITDA margin was 16.6%, well-above our guided range, and that reflects a 240 basis point rise sequentially on strong commercial execution and discipline on discretionary costs. Price contributed two points of incremental revenue growth sequentially. As Patrick mentioned, pricing and productivity benefits combined more than offset inflation, and our EPS in the quarter was $0.66, coming in above expectations. Please turn to slide 5, and I'll review the quarter's segment performance in a bit more detail. Water Infrastructure revenue exceeded expectations, growing 9% organically in the quarter. Industrial remained strong, driven by continued backlog conversion, and our US wastewater utility business grew double digits as supply chain constraints improved throughout the quarter. Geographically, the US and Western Europe were also up double digits, driven by robust transport demand in the US and treatment applications in Western Europe, alongside strong dewatering growth. Emerging markets, excluding China, was up high single-digits, driven by strength across Latin America and Africa. These markets were down mid-single digits, including China, due to COVID site access restrictions there. Orders in the second quarter were up 21% organically versus last year, with growth underpinned by strong underlying demand supported by large infrastructure projects in the US and Canada. We also saw sustained demand in our wastewater utility business in North America and Western Europe. EBITDA margin for the segment was up 240 basis points as strong price realization, volume and productivity benefits more than offset inflation and investments. Please turn to Page 6. In the applied water segment, second quarter organic revenues grew 7%, modestly exceeding our expectations. Geographically, the US was up high single-digits with strength across industrial and residential, partially offset by supply chain constraints in the commercial business. Western Europe delivered low double-digit growth with healthy gains across all end markets, led by benefits from new energy-efficient product introductions. Emerging markets was up low single-digits, driven by strong industrial demand. Orders were up 2% organically and continued to outpace revenue with a book-to-bill ratio of 1.1 for the quarter. Segment's EBITDA margin declined 130 basis points compared to the prior year. And while price realization more than offset inflation, volume and mix for the quarter were negative. Despite lower volumes, demand remains robust as seen in our book-to-bill ratio. However, we expect to continue to deliver sequential EBITDA improvement as the benefit of pricing actions comes through our backlog. And now let's turn to Slide 7, and I'll cover our Measurement & Control Solutions business. M&CS exceeded expectations on strong demand and modestly better chip supply with revenue declining 2% organically. We also saw strong growth in our test and pipeline assessment services product lines. Geographically, the US and Western Europe were down mid-single digits and emerging markets was up high single-digits. M&CS orders declined 9% organically in the quarter, due to lapping some large deals in North America and the UK. Underlying demand for our AMI offering remains strong and orders continue to outpace revenue. We recorded a book-to-bill ratio of 1.4 and has built a backlog of over $2 billion. Segment EBITDA margin in the quarter was ahead of expectations, expanding 120 basis points sequentially on improved volumes. As supply chain stability improves and we convert our backlog, we will see strong margin accretion on higher volumes as we have previously discussed. And now let's turn to Slide 8 for an overview of cash flows and our balance sheet. In the second quarter, we generated free cash flow of $67 million, driven by income conversion, partially offset by higher working capital. Our financial position remains strong with $1.1 billion in cash and $1.9 billion of available liquidity. Net debt-to-EBITDA leverage is 1.5 times. Please turn to Slide 9, and I'll hand the call back to Patrick to look forward at the rest of the year.
Patrick Decker: Thanks, Sandy. As you've seen, the team is delivering strong results in a very dynamic environment. Given the prominence of discussions about macro uncertainty in the economy, it's worth spending a few minutes talking about our confidence in the resilience of underlying demand for Xylem's offerings. The aspect of our sector and our business model that gets most discussed in this context and for good reason is that, our offering is at the core of essential services through the ups and downs of economic cycles. Cities and towns must provide essential water and wastewater services. So, the demand associated with water management tends to be quite resilient. It's also important to understand the dynamics between OpEx versus CapEx across economic cycles, particularly for water utilities. OpEx spending is very stable, given the basic need for day-to-day water services, CapEx which represents roughly a-third of spending on Xylem's offerings is focused on infrastructure expansion, or refurbishment, and it comes with longer regulatory and funding approvals. So spending against these projects once approved, historically, has not wavered to a material extent. And this is not just a US dynamic, but it applies globally. You see it in Europe, both at the regional level. For example, with the EU's recovery and resilience funding, and at the country level as seen in the UK's AMP process. Similarly, infrastructure funding is embedded in China's five-year planning cycle. And of course, you're all familiar with the recent US federal infrastructure funding and the time lines on which the state revolving funds work. Those structural advantages of the sector, however, are only a benefit, if our portfolio delivers distinctive value to our customers through the cycle. For many of our customers, value is defined in terms of becoming more efficient. And that means modernizing their infrastructure, with digital technologies, to make their networks more affordable. Our AMI metrology backlogs offer a proof point about the resilience of that demand. Despite the ongoing chip supply challenges that have dogged the tech sector for the last year, our backlogs have continued to grow. Our distinctive data and communications driven AMI solutions, deliver a step change in both efficiency and resilience for utilities. AMI represents now roughly a-third of all water meters in the US, which shows the progress of adoption, but also the potential for future growth. Given the budgetary pressures the utility face, both to generate revenue and reduce water loss, smart meters will remain a top imperative. One other demand trend that will persist through the cycle and in fact, is set to increase is the growing response to climate change. Cities around the world are committing to net zero emissions. At the same time, they are investing in mitigating the impacts of climate change that are already here, like those, we've seen this summer in the form of historic and tragic flooding in the US and Asia. These are generational challenges. Innovations and new approaches are absolutely essential to solving them, because water management is a significant carbon contributor, accounting for up to 10% of greenhouse gas emissions globally. In commercial and residential markets, cities have begun introducing building regulations to reduce emissions, including efficient water management standards for both regional construction and retrofits, and the utility market, which produces greenhouse gas emissions, equal to the entire global shipping industry. It's going to be required to reduce its carbon intensity in line with the commitments of their cities, municipalities and countries. And we at Xylem are an outright leader in this space and are in a unique position to support our customers in their sustainability commitments. You may have seen that we released our annual sustainability report in May. Among all the progress made against our 2025 goals, I'd highlight that we enabled our customers to reduce their carbon footprint by 730,000 metric tons in 2021 alone using our technology. That is the equivalent of taking 160,000 cars off the road. And we're on track to help them reduce their emissions by 2.8 million metric tons by 2025. So stepping back, we're very confident that the macro force is driving our underlying demand will continue. We're also confident that Xylem is better positioned than ever to create value by helping our customers respond to them. So now, I'll turn it back over to Sandy for more detail and color on our outlook and guide.
Sandy Rowland: Thanks, Patrick. Consistent with our previous presentations, we've provided key facts for each end market in the appendix. The outlook across our end markets has broadly improved. We expect healthy underlying demand will continue through the remainder of the year, with improved price/cost mix and modest improvements in supply chain. We now expect our utility business to grow mid-single digits, up from low single digits. On the wastewater side, we now expect mid-single-digit growth, up from low to mid-single-digit growth on improved backlog conversion and resilient global demand. The outlook for longer-term capital project spending and bid activity remains solid globally. For clean water utilities, we now expect mid-single-digit growth up from flat. The main driver is earlier than expected easing of chip supply constraints. Although, supply has improved, lead times continue to remain elevated, and our volumes continue to be constrained. We also expect momentum in our test and pipeline assessment services business to continue, due to increasing focus in our end markets on infrastructure and climate challenges, as evidenced by our strong backlog. Please turn to slide 11. Looking at the industrial end market, we now expect high single-digit to low double-digit growth, up from mid-single-digit growth and increased activity in the US and Europe and strong global demand for our solutions. We continue to expect the commercial end market to deliver mid-single to high single-digit growth on solid replacement activity and new introductions in the US and Europe. In residential, our smallest end market, we now expect healthy demand to drive double-digit growth, up from mid-single digits. As a reminder, the majority of our commercial and residential end market exposure is replacement driven versus new construction. Now let's turn to slide 12, and I'll walk you through our updated guidance. Our outperformance in the second quarter gives us confidence to increase our full year guidance for organic revenue growth and to raise the low end of the adjusted EPS range. We now expect full year organic revenue growth of 8% to 10%, up from 4% to 6%, and we have raised the bottom end of our EPS range by $0.10. The increase in the reported revenue guidance is more modest, as the strength of the dollar offsets roughly half of our operational improvements. We have modified our assumptions on our basket of currency exposure, which is included in the appendix. These changes result in an incremental $0.05 headwind to the full year EPS guide. And this is on top of a $0.10 EPS FX headwind that we discussed last quarter. On slide 13, we've shown how our guidance breaks down by segment. We now expect high single-digit growth in Water Infrastructure, up from mid-single digits and low double-digit growth in Applied Water, up from high single digits, driven by disciplined commercial execution and backlog conversion on continued strong demand in both segments. We now expect Measurement & Control Solutions to be up mid-single digits, up from flat. This reflects the outperformance in the first half from chip supply improving sooner than expected. For 2022, we are raising the bottom end of our adjusted EBITDA margin range, which is now 16.5% to 17% and this yields the adjusted EPS range of $2.50 to $2.70 that I just mentioned. We now expect free cash flow conversion to be approximately 90% of net income. We're carrying about a month of extra inventory to mitigate the risk of supply chain disruptions and provide continuity of service to our customers.  We expect to bring conversion back to historical levels as supply chain stabilize, enabling us to return to free cash flow conversion of at least 100%. We have provided you with a number of other full year assumptions on the slide to supplement your models. And now drilling down on the third quarter, we anticipate total company organic revenues will be up 10% to 12%. This includes mid-single-digit growth in Water infrastructure and mid-double-digit growth in Applied Water and M&CS. We expect third quarter adjusted EBITDA margin to be in the range of 16.5% to 17%, a sequential improvement over the prior quarter.  And with that, please turn to Slide 14, and I'll turn the call back over to Patrick for closing comments.
Patrick Decker: Thanks, Sandy. We saw the power, some short-term swings this past quarter. A small improvement in chip supply had a big impact. Currency movements have been offering what you could call a challenging forecasting environment and the unexpected duration of COVID shutdowns held China back.  Just a quick note on China, our team and our customers there have been continuing to serve their communities under very tough conditions, given the extensive restrictions in place to manage COVID, I'm incredibly proud of the team. We expect to see progressive improvement in the market for the second half and have full confidence China will continue to be a source of innovation and growth for the long run. In the context of short-term uncertainty, our job is demanded through the unexpected. Meeting those challenges is what being a good operator is all about and the team has certainly been doing that. The team's strong operational execution is built on the same foundation as our 2025 growth and strategic milestones, a consistent story at the heart of our investment thesis. We're building on our leadership position as a technology company with a durable business model. We're benefiting from long-term secular trends of rising demand, driven by water and climate-related challenges. We're driving above-market growth and margin expansion as we digitize our portfolio to serve our customers' imperative to be more efficient. We're successfully putting sustainability at the center of everything we do, across our company, our customers and our communities. And we'll create additional stakeholder value with disciplined capital allocation as opportunity is won. Strong continued demand and the kind of performance we're seeing from the Xylem team show our ability to deliver on that thesis. And with that, operator, let's open it up for Q&A.
Operator: [Operator Instructions]. Our first question is coming from Deane Dray with RBC Capital Markets. Your line is open.
Deane Dray: Thank you. Good morning everyone.
Patrick Decker : Good morning, Deane.
Sandy Rowland: Good morning, Deane.
Deane Dray: Hey, maybe we can start with the better news on the chip supply. And we've been hearing that from other manufacturers that it's starting to improve gradually, and your commentary is pretty consistent with that. But just some additional color, what you see in the quarter? And what's that outlook for the second half? How much of the backlog in digital might you be able to sell?
Sandy Rowland: Yes. Good morning, Deane. Thanks for the question. We certainly were pleased to see definitely slightly better supply throughout the quarter. And I think if you go back to where we were from a low point from a revenue perspective, last year in Q4, we're under $300 million of revenue. We clawed that back and we're approaching 350 in the second quarter. So it was definitely a bigger step-up than we had anticipated. As we look at the second half of the year Deane, we see a more modest increase from Q2 to Q3, and then a little more -- another step-up into Q4. We think we're going to exit the year really in line with what we had modeled. We've just been benefiting from some better supply earlier in the year. And I give credit to the team that has been in really close contact with all of our key suppliers leaning in and also being opportunistic in the spot market so that we could take care of our customers.
Patrick Decker: And I would just add Deane that – sorry, for my voice that in addition to that the team has done terrific work not just on landing chips in the spot market, but a lot of the redesign work that we talked about in past quarters is nearing completion. And so there was an added cost in the quarter for that, but it was there to really make sure we secured supply for our customers. And we also shipped out more mechanical meters in the interim in order to bridge that gap while we're waiting on the chip to come through. So there were multiple dynamics, but as Sandy laid out things certainly got better and we feel more confident now about the second half than we did before.
Deane Dray: That's real helpful. And just the context of this and I'm not sure if you can give specific numbers, but our expectation is that the profitability of these digitally enhanced products and services they're roughly 50% more profitable than the legacy I don't want to say dumb, but not digitally enabled products and services. Is it still that magnitude of difference in margins on the digital side?
Sandy Rowland: Yes. Deane, the margins are clearly richer on the digital side. And we saw that in our mix in M&CS in the quarter. We were about 5% less digital this year compared to last year. And I think that was with the purpose of taking care of our customers and putting product into the hands of our customers where -- to keep them up and going. And so that took a more mechanical meaning this time around. I think as we look at longer-term where we expect to land from a margin perspective nothing has changed structurally from what we laid out in our Investor Day last year in September.
Patrick Decker : If anything gained the backlog has gotten stronger, especially with some of the large deals that we brought in over the last few quarters and the bidding pipeline remains very robust just given how early we still are in terms of conversion to MI across, especially the US on the water side of things. So we expect that runway to be there for quite some time.
Deane Dray: Got it. And then just last question for Sandy, on the free cash flow, we've seen most of the companies this earnings season trimming free cash flow guidance, all because of higher working capital commitments both supply chain inefficiencies and big demand. Just -- how do you -- the expectation for returning to 100% free cash flow, is that really dependent on the supply chain? And what would be the time frame?
Sandy Rowland: Yeah. I think a great question, Deane. When we built our plan for 2022, we expected that supply chains would be meaningful -- meaningfully improved in the second half of the year. And we're not seeing big changes yet. And therefore we think it's prudent to carry some extra inventory with the leaning of delivering on revenue and delivering on our backlog. So there's, a couple of things that are going on. Lead times are still elongated. We're still having problems where we're missing one or two key components and then we're not able to get the entire solution out the door. And of course inflation is bringing up the overall balances in our inventory. But we will bring that down. We'd expect that is certainly in 2023 at the latest and it will be a key focus item for our teams. This is not something that we plan to do for a long period of time.
Patrick Decker: And from a segment perspective Deane, it was most notable in Applied Water, where again we've had continued knock-on effects whether be supply chain casings coming out of China due to COVID. Obviously, we expect those to continue somewhat in the second half. And that's why to Sandy's point we brought in an extra month of inventory into that business. So it's very visible. We know exactly what it is. It's totally under control. It's simply a matter of meaning to do that in order to supply customers and maintain that demand.
Deane Dray: All right. That was great color. Thank you.
Patrick Decker: Thank you.
Operator: Thank you. We will take our next question from Nathan Jones with Stifel. Your line is open.
Nathan Jones: Good morning everyone.
Patrick Decker: Good morning, Nathan.
Sandy Rowland: Good morning, Nath.
Nathan Jones: Going back to M&CS, I think Dan asked enough questions on the chip supply and how that's progressing. Maybe you could talk a little bit about the expected profitability of that business as we see revenue pick up in the third quarter, and then you've talked about a bigger step-up in the fourth quarter, assuming that it's probably going to continue to improve going into next year. Can you talk about the path to getting back to those profitability targets that you laid out at the Investor Day? Where might we be able to get to in 2023? How quickly can you get to that kind of expected margin level on the business?
Sandy Rowland: Yeah. I think obviously a really important question, Nath. I think one thing I want to call out is we've already seen from the low point in Q4, 300 basis points of margin expansion from Q4 to Q2. And that's evolving because of the higher volumes, partially constrained by some of the things that we referenced earlier in the call the mechanical mix the redesign costs on optimal manufacturing flows. But as we look out into the back half of the year, there's not as much of a pickup from a revenue perspective, but we would expect margins to kind of continue along the same trajectory that we've recognized from Q4 Q to Q2. And I'm not going to give guidance on 2023 on this call. But as we look out to 2024, 2025 we don't see anything structurally different about where margins should land in that time period.
Nathan Jones: Okay. My follow-up is Europe and Industrial. One of the biggest concerns we hear from investors is Europe and industrial not only are you not seeing that. I think that was one of the stronger areas in terms of growth in the quarter and solid orders there. Maybe you can talk about the trends that you're seeing there? And then, if you can talk about the resilience of the industrial business in general, particularly the lot industrial side of the business, and how you would expect that to react in the potential for a recession in Europe?
Sandy Rowland: Yeah. I think for us Europe has been a real bright spot. And it's not just in one segment. It's really across the entire portfolio. We've seen good revenues in Europe. We've seen good orders. I know, there's a lot of concern about potential recession in Europe, and the industrial market in particular. I think one thing, I would call out is that, if you look at our dewatering business, for example, which is more industrial, we've done a lot to diversify the end markets there, much less exposure to oil and gas than we did in the prior recession. I think we're down to about 1% revenue in that end market. And then, of course, there we've also been diversifying from a geographic perspective.
Patrick Decker: Again, I would just offer up, Nathan, you publicly recall this, but if you go back over time, and look at previous kind of industrial recessions back in kind of the 2015, 2016 timeframe, our European business still held up in terms of growth during that timeframe, because the results are much less cyclical there given the end market exposure that we've got. And also – so for example, I think the numbers in 2016, Europe still grew 3% despite being in the middle of an industrial recession.\ So, we feel pretty good about that. We think it would be that resilient again. I think as you well know, if we were to first see any softening in orders which we've not seen to this point, it would be – it would be in our short-cycle businesses, which would be more applied water and dewater. And again, we've not seen that yet. Our backlog continues to grow good book-to-bill, and again, obviously there would be actions that we would take, if we began to see those metrics coming through, as we've done in the past. We can phase investments. We still have further productivity opportunities to go after across the organization, and we're sitting on record backlogs. And the fact that, we've been able to weather the chip supply issue, without losing any business, and those deals and backlog is pretty strong statement about the resilience of our pipeline and the markets that we serve.
Nathan Jones: Thanks for taking my questions. I’ll pass it on.
Patrick Decker: Thank you
Operator: We will take our next question from Connor Lynagh with Morgan Stanley. Your line is open.
Connor Lynagh: Yeah. Thanks. Just wanted to talk a little bit about cash flow and capital allocation. So, on the cash flow side, your full year free cash flow guidance does seem to anticipate some pretty good relief on working capital investment in the back half. I'm just thinking through, it looks like you have a CapEx acceleration. Obviously, we can sort of get to the EBITDA number. So – is that because you think that you will be starting to work down inventories, or is that just sort of a seasonal release in working capital that you're anticipating?
Sandy Rowland: Yes. No. Great question. We do have a plan to start working down some of our inventory through the back half of the year. It's nothing dramatic. It's going to take place over the next six months on a very gradual basis. And I think we are – our teams have been doing a good job on the elements around working capital. We are going to continue to lean in hard on collections, and make sure we bring those in, and that – we've seen really good results through the pandemic on our collection front. And similarly, we're doing work around, getting better terms from a payable perspective. I may have referenced it on another call. We have a supply chain financing program that's quite active, and it allows our supplier base to take advantage of our credit rating. We're getting more of our supplier base engaged on that program, and that will give us some incremental days from a payables perspective. And I think, it all ties into being prudent also around cost and discretionary spend, and CapEx spend to make sure, we start seeing a better cash conversion in the second half, which lines up with our historical seasonality as well.
Connor Lynagh: Makes sense. And then, I was noticing, it looks like you slowed your cadence of buybacks in the quarter. Is that driven by any concern around the state of the business? Is it because you're starting to see more opportunities emerge on M&A? Just any color on what you're thinking there?
Sandy Rowland: Yeah. So we haven't changed our strategy, our capital allocation strategy. We've typically bought stock back in the first quarter, which is when we have a vesting date in our equity compensation programs. And so this was nothing that we bought back stock in Q1. We wrapped that up at – in the March time frame. And as we look at our M&A funnel, and pipeline, we still see a really – we're really encouraged by the funnel, the range of opportunities, and that remains a higher priority for us than buying back our stock.
Patrick Decker: Yeah, I would just add to that, if you look at our balance sheet, we've got upwards of about $4 billion in dry powder, and we are not hesitant to do a deal when it needs to be done. But again, that would all be in advanced in serving our strategy that we've laid out. As Sandy said, the pipeline is very active all different sizes of opportunities in that pipeline. But again, we want to continue to be disciplined and selective with an eye towards significant value creation. And again, as I always say it takes two to tango.
Connor Lynagh: Right. Makes sense. I'll leave that comment for somebody else to ask about. But – thanks.
Operator: We will take our next question from Mike Halloran with Baird. Your line is open.
Mike Halloran: Hey, good morning, everyone.
Patrick Decker: Good morning, Mike.
Sandy Rowland: Good morning, Mike.
Mike Halloran: Many thanks for that. So the – obviously, you guys seem pretty confident in the underlying trends of the end market. I know, you spent a lot of time talking about the – your ability to react as things do so here or there. But obviously, backlog is really strong. Maybe you could talk a little bit about how that visibility from the backlog stretches out here? How does that compare to what that normal visibility looks like? And any color you can around how much – how booked out you are as we get to out years at this point?
Sandy Rowland: Yeah. I think, Mike really good question. Nothing has changed structurally about our backlog. If you look at our AWS business that has a larger book-to-bill ratio than the other segments, and we're carrying record backlogs across really all three of our segments. And we did see really strong book-to-bill ratios across the portfolio in the quarter from an orders perspective. As we look at our water infrastructure and Xylem's M&CS backlogs, they stretch out for longer periods of time. Water infrastructure is in the middle. We have our transport business, which turns fairly quickly and a treatment business that has projects that stand out for multiple years. And then M&TS is the longest coupled with the supply chain constraints, which don't magically disappear at any one month, we have a $2 billion backlog there. So that's going to take a couple of years plus to work to work through.
Mike Halloran: Appreciate that. And then the price cost cadence sequential improvement catching up on the price side relative to the inflation pressures. How does that work in the back half of the year on an EBITDA dollar basis when you think your whole? What do you think margins start reflecting the positive pricing you're putting through?
Sandy Rowland: Yes. I mean, we are really pleased with what we saw from a price perspective. We've leaned in harder on price, because inflation is also coming in higher throughout the year. A big milestone we did get price cost positive in the quarter from a dollar perspective, given the magnitude it's slightly dilutive to the rate in Q2. Q3 is a little bit lower from a seasonality -- a little bit lower on the revenue side compared to Q2 just because of the typical seasonality in our water infrastructure business. And so in Q3, we expect to continue to be price/cost positive on a dollar basis, probably still in the same order of magnitude about 30 basis points this quarter in that order of magnitude dilutive from a rate perspective. And then we think in Q4, we should be positive again from a dollar perspective and neutral from a rate perspective. So, really good progress across the portfolio to reach this important milestone.
Mike Halloran: Thank you. Yes.
Patrick Decker: If I could just go back to your question on visibility and backlog. I think the other dimension that we feel much better about now than we even did in the last industrial downturn is the visibility and the closest we have to our channel partners, our distribution channel partners both here in the US as well as in Europe, where we have meaningful indirect channel business. And we've got much better visibility and coordination with them now than we did back then. So we got hit with a couple of surprises last time around in a quarter or two, we feel much better about that not happening going forward. So they are also our eyes and ears of what's going on in the marketplace at a local level.
Mike Halloran: Thanks for that Patrick. Thanks, Sandy.
Sandy Rowland: Thanks, Mike.
Operator: We will take our next question from Scott Davis with Melius Research. Your line is open.
Scott Davis: Hey, good morning everybody.
Patrick Decker: Hey, good morning, Scott.
Sandy Rowland: Good morning, Scott.
Scott Davis : A couple of little things here. I mean, the supply chain issues, I mean, chips we've been talking about for quite some time, have the other supply chain challenges gotten a lot better the non-chip related stuff getting materials faster easier.
Patrick Decker: Yes. Scott another great question. It's a mixed bag. I'd say, supply chain in the aggregate has modestly improved versus Q1, but it really does vary across the three segments. So as we mentioned, chip supply getting a bit better within MCS, but lead times are still long but they're not worse, they're getting better. And water infrastructure, we have seen improvement in lead times from our European factory into the US. And certainly, what our infrastructure has benefited over the last year by offering more competitive lead times due to better vertical integration that we did within the company. But then I would say as we mentioned earlier one of the reasons we're carrying an extra month of inventory is because of applied water. It's not limited to ply water but that's the main driver. And that's really again just knock on effects from China mainly castings, but also we see continued delays in shipping and logistics that we're just having to work through. So I'd say, it's getting marginally better across the board, but it really varies by segment. . 
Scott Davis: And we talked a little bit about China. I -- how does it work? When you think about their controlled economy like that and their CapEx budgets and how they think about cadencing projects and stuff when you have the lockdowns like you've had this year does it -- does it push the projects to 2023 but then the existing 2023 plan remains and then they try to catch up does everything pushed, right? I mean how does China kind of work?
Patrick Decker: Sure, yes. So -- and obviously, it's a big market. So it does vary depending upon the vertical -- the end markets that we're talking about. What we find is that the utility side is much more stable. So right now the issue for us has not been so much for our plants not to be up and running. We returned back to, kind of, normal levels in terms of staffing and presence back in May I believe it was. It really though is logistics and transportation have been at a standstill because customers and colleagues are required to be at home. These impact all kinds of projects Scott, but mainly the government-funded projects. But that's not a bad thing because those projects don't go away. They simply shift to the right. And we would see from the past that there would be an accelerated catch-up as the restrictions are lifted. So we've got plenty of capacity in our factories and as to the distribution partners to get this stuff out. It's simply a matter of sites not being open. I mean, customer job sites, utilities not being open. That's what we're waiting to see recovery. We're not assuming that we're going to get much of any recovery in the second half of this year, but we do expect that to recover to come back quite strongly in 2023. But no structural changes in our view on the attractiveness of China. This is simply things moving to the right. 
Scott Davis: Okay. That’s really helpful. Best of luck. Thank you.
Patrick Decker: Thank you.
Operator: We will take our next question from Brian Lee with Goldman Sachs. Your line is now open. Brain, your line is now open.
Unidentified Analyst: Yes. Hi. Hello. This is Miguel on for Brian. Just a quick question on the supply chain on the chips. I know a lot has been talked about there, but it sounds like on chip supply it's definitely -- commentary sounds it's improving, but some of your peers have still been kind of been more cautious on the chip supply. Is there anything on the supply side or what you're doing specifically that maybe is helping you out a bit more recently versus peers? 
Sandra Rowland: I can't speak for all of our peers. I think, we have been working very -- as we said earlier, working very closely with our suppliers. The trajectory on where we exit the year is very consistent with what we expected. It's been good work to get some better chip supply earlier. And also within M&CS, there have been some other product lines that have been strong as well. It's not only the chips that drove the upside in M&CS. So we're seeing good results from our test business, some traction with our pipeline assessment services business. And so that broader portfolio is also helping us get out ahead of what we had modeled for the year.
Patrick Decker: The only other thing I would add, which I – I'm cautious to share too much on this because we've got good visibility but it's not perfect because things could change. But I do think, depending upon who you're including in that peer group, it talks about digital, we've got somewhat higher concentration. Therefore we get a bit more leverage with suppliers. And we've got some really strong relationships with our partners, whether it be the direct suppliers from the chips and wafers or whether it be our partnership with Flex, we aggregate our demand and I think it gives us a stronger platform, at least stronger than what would be if we were doing it all on our own. So some of these things it's also just – I mean the number of calls that I and others have been on with the leaders of these companies and you just got – the team has been working it. And we've had to be more patient than we wanted to. But I think those relationships and those investments and relationships are beginning to pay-off.
Unidentified Analyst: Understood. Thanks a lot. I’ll pass it on. Appreciate the color.
Patrick Decker: Thank you.
Operator: We will take our next question from Saree Boroditsky with Jefferies. Your line is open.
Saree Boroditsky: Good morning. So you highlighted strong growth in dewatering applications across most geographies. Could you talk about the benefit that had on March during the quarter? And should that continue to be a margin tailwind for the remainder of the year? 
Sandy Rowland: Yes. So if you look at water infrastructure business sits, we saw a really good margin performance. That business has been the most resilient when we look over the past couple of years. And certainly, the recovery in dewatering is a contributing factor. And so a lot of hard work has gone into our dewatering business both to diversify it from an end market perspective, from a geographic perspective. We've made some purposeful investments in our fleet to make it more modern and current and we're seeing that upside on the rental side as well. So certainly dewatering positive seeing good orders momentum there continue in the quarter on a global basis. So certainly helpful to the margin expansion story with the water infrastructure.
Patrick Decker: Yes. And I would just add it's – I mean certainly, it's one of the shorter cycle businesses that we've got and it's not immune to cyclical downturn just like it hits it up on the way up. I think the other area that we benefited from is full on integration within our commercial team, most notably in North America, where I think it's been upgraded and leadership. I think there have been investments that Sandy as talked about. And the diversification has really been away from heavy oil and gas and mining and looking at more utility muni opportunities, where there's visibility with some of our other businesses in the portfolio. So good lead generation by sharing leads with our field services teams. So we're in the early stages of that, but we've had some really good growth rates there. We're up maybe yes double-digit here through the first half of the year on the order side and we hope that continues.
Saree Boroditsky: Okay. And then obviously, you've talked a lot about MCS and kind of the strong growth outlook there, but organic colors declined in the quarter. So just wondering, do you expect to see orders turn positive again? 
Sandy Rowland: I think when orders -- we've had a real surge in orders, over the past several quarters and so while the headline print on orders for MCS may have been negative, when you look at the orders from a dollar perspective, we're still running well ahead of what we're able to convert from a revenue perspective. I think we had $475 million of orders in the quarter, which is still a really good number relative to our revenue. The pipeline continues to be robust. We're still in the early innings of the overall AMI conversion journey. About one-third of the industry has converted to AMI, in North America. So, there's still a lot of runway and we have a really differentiated product there that's gaining traction. 
Patrick Decker: Yes. And I think as we said earlier, I know none of us ever like to be talking about difficult year-over-year comps, when you have big deals in a quarter last year, but it is there is some element of the nature of that in the business. And we'll certainly be even more transparent, going forward as to, how big are those deals, what other big deals are coming because it is a big rich pipeline right now that we're bidding on. And so, we have been running hot for the better part of 1.5 years or so, on some big deals big books. So but we were very positive on that pipeline. 
Q – Saree Boroditsky: Thanks for taking my question.
Patrick Decker: Thank you.
Operator: We will take our next question from Andrew Kaplowitz with Citigroup. Your line is open. 
Andrew Kaplowitz: Good morning, everyone.
Sandy Rowland: Good morning.
Patrick Decker: Good morning.
Andrew Kaplowitz: Patrick, I said maybe you could talk about, what you're seeing on the municipal water front and how IAG [ph] funding may be starting to flow in. Have you seen any of that funding, yet? And how are you thinking about that moving forward into 2023? . 
Patrick Decker: Yes. No we've really -- we've not seen -- I mean well first of all, we see demand in utilities very robust. And especially here, I mean stable in Europe, good emerging markets obviously ex-China and was really strong in the quarter here in North America. We really have not seen anything meaningful, come through from a funding standpoint, yet. So that would still be upside. And -- we talk a lot about the infrastructure bill here in the US. But as I mentioned in my prepared comments, you've also got the recovery and resilience funding going on in the EU. You've got at the country level in the UK's five-year process, that we talk about. And then you've got the infrastructure funding that's embedded in Sean's five-year planning cycle, which remains unchanged. So all those together, we think really point to a very strong funding infrastructure for utility spend globally.
Andrew Kaplowitz: Got. That's helpful, Patrick. And I know Sandy, you talked about price cost improving. Obviously, you've mentioned productivity in the past. It seems like it's also improving, but maybe you can talk about that how constrained labor is and you're sort of pushing productivity as you go forward and how that impacts the overall price cost dynamic?
Sandy Rowland: Yes. So I think we were price cost positive excluding productivity in the quarter. So that was really encouraging. We have a pipeline of continuous improvement product -- projects that we're driving across the portfolio. Some of that has been a little bit constrained this year, as we've moved engineers off of continuous improvement projects, on to redesign work. As Patrick talked about earlier in the call is that work matures and we move through the sort of the test and certification part of that process, we'll be able to bring some of our resources back and focus on continuous improvement projects and continue to pick up momentum on the productivity front as well. But I think looking across the globe our teams are doing a good job there and it's contributing to our margin improvement story on a quarter sequential basis.
Andrew Kaplowitz: Appreciate it.
Operator: And we will take our next question from Joe Giordano with Cowen. Your line is open
Joe Giordano: Hey guys. good morning.
Patrick Decker: Hey good morning.
Sandy Rowland: Hey Joe.
Joe Giordano: Hey. So, when -- you think when we start -- when this all normalizes on supply chain, you look back at how it went and you think about -- sorry when you think about M&CS like what do you think you're going to come out thinking like this is what we did really well. This is some things that we need to like structurally maybe alter going forward to kind of meet a new reality.
Patrick Decker: It's a great question. I think right now Joe as -- certainly as I look at it and Sandy can certainly comment here. I think we're going to look back on and say we did quite well is navigating through the chip supply and holding a team together, holding morale, people spending days and nights and weekends over and over and over again on the phone with suppliers. Customers working -- our commercial teams are working with customers keeping them on board. Nobody happy. But the team's fortitude really shown through and it continued to show through. I think two, the fact that there have been no cancellations in a record backlog is a testimony to that. And no decline in the margins of that backlog due to chip supply. Our margins have been impacted by some of the near-term choices we've had to make on spending money on redesigns, on selling some mechanical meters in at lower margin than our other meters. And so those I think are all going to be in the plus column. I think if there were things that we could have done differently the one that comes to mind for me was I think we probably waited a little too long to get going on some of the redesign work. I don't think we missed it by much. But I think we all learned that the sooner you get on that, the better you're going to get because it takes a while to sort through that. So, that would be my high-level takes on this, but we're not out of it yet. So, we still have time to reserve the right to get smarter. 
Joe Giordano: That’s good color. Thank you, Pat. And then maybe I'll ask one some of your more international products, you've been hearing this from some other companies. Have you seen like increased international competition from like maybe competitors who are selling in US dollars, but have like fully local currency cost basis, so they don't really need to raise prices. I guess their margins are benefiting and you guys are in a comparably tougher situation. Are you seeing any of that?
Sandy Rowland: Joe, we're really not seeing anything meaningful on that front. We're seeing across our end markets with our competitors that they are also taking price increases. I mean nobody has been immune to inflation in this market. And so we have been the price leader where we have competitive advantage. And so--
Patrick Decker: We have a structural probably a somewhat different structure than some of our peers or other companies that you follow. And that our competitive base products that we for example sell out of Europe. Those product lines are also predominantly European competitors. So, we've got great footprint, whether it be in Italy, whether it be in Sweden, whether it be the UK. So -- and we've reduced our lead times on still being able to ship those things into the US. In North America, the markets we serve, our competitor there are for the most part, US-based companies also. So, there's just structurally not that big of a disadvantage vis-à-vis our competitors. We're kind of all in the same boat. We don't take that for granted. We're always looking for ways to further localize and take cost out and reduce lead times. 
Joe Giordano: Thanks.
Operator: We will take our next question from John Walsh with Credit Suisse. Your line is now open.
John Walsh: Hi, good morning and wanted to say nice quarter.
Patrick Decker: Thank you
Sandy Rowland: Thank you.
Patrick Decker: Appreciate it.
John Walsh: A lot of ground covered, question around price cost. One, just wondering, if you could talk about what you're seeing sequentially with some of the big cost buckets be it materials, logistics et cetera. And then, I know you've done some structural pricing initiatives, just how much of the price you think is structural? And how much might be tied to surcharges? Thank you.
Sandy Rowland: Yes. Thanks for the question, John. Yes, I'll take the last one first. And -- when you look at what we've done from a pricing perspective, we haven't taken the approach to tack on surcharges. What we've done is more permanent price increases. So, that's been our road map there. Let me give a little bit of color from a price perspective, we saw a big step-up in our price realization from Q1 to Q2. We'd expect that to moderate in the back half of the year, because it was the second half of the year, last year that we started turning on our price increases. So, that will level out a bit in the second half. And I think the other thing, I would just close with to remind people, there's been some headlines on some moderation in commodity pricing. We're still seeing inflation in many of the other categories, freight, labor, overhead, et cetera. And so, we're still facing an inflationary environment. But net-net, all in, we're going to be in a better place in the second half of the year, than we were in the first half.
John Walsh: Great. And then maybe just as a follow-on, any color you can provide kind of last time we saw commodity deflation and experience that. I mean, obviously, as you just noted it's more than commodities, but just curious historically, the ability of the price.
Patrick Decker: Yes. The -- if you take one example of when we were in the heavy tariff situation and then a number of those tariffs were rolled back, we did not give up those increases because of the value that we were selling to our customers, and they understood the situation we were in. And so, historically, when there has been a rollback in material inflation, we've been pretty successful at hanging on to that. So, I think almost entirely successful in doing that. But I'm sure, there's an exception or two here or there. But in the headline numbers, they don't roll back.
John Walsh: Great. Thanks for fitting me in and taking the questions. Appreciate it. Welcome.
Operator: We will take our next question from Pavel Molchanov with Raymond James. Your line is open.
Pavel Molchanov: Thanks for taking my questions. Obviously supply chain problems affect everybody and probably touched on this a quarter ago. Are you seeing any situations where some of the smaller middle market players that could be prospective acquisition targets for you, are struggling disproportionately and perhaps creating kind of an opportunistic situation for you to look at M&A?
Patrick Decker: No. It's an interesting question. And I think it was perhaps raised earlier in the previous quarter when we were all even more, needy into supply chain challenges. We never really looked at it that way. We haven't really seen, I mean the companies that we look at are high-quality and may not always be at big scale, but they are pretty good at managing their supply chains as well. I mean, they're much more focused on product line or a couple of offerings. Having said that I do believe -- and this speaks to maybe the question that Joe asked earlier, I think all of us look at supply chain now as being one of the new most important competitive advantages that a company needed to have, because whether it be chip supply this time it will be something else down the road. And the world is so interdependent at this point in time. And we've got a whole lot better ourselves. We still have ways to go. But I do think that it can be the form of a new synergy going forward, but it's not prominent in our thinking about the specific pipeline that we've got right now.
Pavel Molchanov: Understood. A follow-up about the U.K. specifically. There was a report from one of the government experts the other day saying that without the implementation of smart water metering, the U.K. would be experiencing outright water scarcity by the end of this decade, pretty striking headline. Just thought, I'd get your perspective on that.
Patrick Decker: Yeah. So I won't prognosticate on the prediction. But what I can reinforce is, the lead of late which is the office of water in the U.K. they regulate the 17 or so utilities that serve the U.K. And that five-year AMP cycle they go through there is a preempt piece to that where they all have to come for with their proposals in order to get their funding approvals, their rate cases approved. And all that is published very visibly as to what are the top three priorities that each utility is focusing on, they're mandated to have that. And we can confirm that, in this last cycle unlike any cycle before, virtually every one of utilities when you look at what they were trying to solve for it was things around scarcity. It was things around water losses and how they do all that in an affordable efficient way. So that common theme was a big deal. And then also in some cases, climate change impact in terms of flood prevention and building more resilient infrastructure. So there is a lot there. It makes it a very attractive market. So hopefully that was helpful.
Pavel Molchanov: Thank you very much.
Patrick Decker: Thank you.
Operator: We have reached our allotted time for questions. I would now like to turn the call back over to Patrick Decker, for any additional or closing remarks.
Patrick Decker: Well, thanks everyone for your time today for your continued support. I know we've run a bit long here. I appreciate the questions and the interest. I trust you'll all have a very safe and enjoyable remainder of the year summer. I know you're a need even earnings season. So we appreciate your time and your attention. And I look forward to hearing to you again.
Operator: Thank you. This does conclude today's Xylem's Second Quarter 2022 Earnings Conference Call. Please disconnect your lines at this time. And have a wonderful day.